Operator: Good morning. My name is Darla, and I will be your conference operator today. At this time, I would like to welcome everyone to the Perrigo calendar year 2016 third quarter earnings results conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would now like to turn the conference over to Brad Joseph, Vice President, Global Investor Relations. Please go ahead.
Bradley Joseph - Perrigo Co. Plc: Thank you. Good morning and welcome, everyone, to Perrigo's third quarter 2016 earnings conference call. I hope you all had a chance to review the press releases we issued this morning. Copies of the releases are available on our website, as is the slide presentation for this call. Joining me for today's call are John Hendrickson, Perrigo's Chief Executive Officer, and Judy Brown, Perrigo's Executive Vice President, Business Operations and Chief Financial Officer. I would like to remind everyone that during this call, participants will make certain forward-looking statements. Please refer to the important information for investors and shareholders and Safe Harbor language regarding these statements in our press releases issued this morning. In addition, in the appendix for today's presentation, we have provided reconciliations for all non-GAAP financial measures presented. Now, I'd like to turn the call over to John Hendrickson.
John T. Hendrickson - Perrigo Co. Plc: Thanks, Brad, and welcome, everyone, to Perrigo's third quarter 2016 conference call. We have a lot to cover today. First, I want to provide a comprehensive progress update on the strategic and operational action plan that I outlined during our last earnings call. We've made a lot of progress but there's still much work to be done. Then Judy will walk through the financial results for the quarter, and I will end with a final comment before our Q&A session. Turning to slide 4, at the outset I want to reinforce the team's strong belief in Perrigo's strategy to providing quality affordable healthcare products to customers and consumers around the world. In fact, we believe it is vital to our current global healthcare environment. Macro trends for our business are strong, and Perrigo is in a unique position to capitalize on those trends. Regardless of the political or economic climate, global consumers, customers, and insurers alike continue to search for effective healthcare products that provide value. And Perrigo remains a leader in providing both effective products and great value to both consumers in front and behind the pharmacy counter. In fact, every second of every day, nearly 2,200 people around the globe use a Perrigo product, and our products save consumers more than $7.5 billion every year. This is a great place to operate. Turning to slide 5, foremost I want to begin by saying that we had a solid quarter in line with expectations, which I'm pleased to share with you. Good top line growth in our Consumer Healthcare segment was led by a U.S. Consumer Healthcare adjusted net sales increase of 4% despite a slower allergy season. In addition, this team continues to drive strong adjusted operating margins at 20% in the quarter. And our Rx business performance was in line with our expectations. Importantly, the cash generation of the business model continues to be strong, with $304 million generated in the quarter. This quarter we also made great progress against a number of our actions to focus and improve our business, and I know you're all interested in hearing about that. With assistance from a leading consulting firm, we continue to make substantial progress against these initiatives to maximize shareholder value. Let me give you some of the highlights here, and then I will dive deeper into them on the slides that follow. First, corporate governance, I'm excited that we added two new board members with great relevant experience and long track records of creating value. Their unique expertise and skill sets will also support our ongoing portfolio review that I will address next. Second, we conducted a portfolio review to optimize our business offerings. As announced in April, we have been thoroughly assessing our portfolio through a comprehensive strategic, operational, and financial review of all of our businesses. As I've said, we will not leave any stone unturned. With that in mind, this slide outlines the items we've completed or initiated to date. The board and management believe the next step to unlock shareholder value is today's announcement that we are exploring strategic alternatives for the Tysabri royalty stream. We continue to evaluate all businesses, including the market position and growth opportunities for our U.S. Rx business, which I will also discuss further. Third, improved performance in BCH; we've taken a number of actions this quarter, leveraging core strengths in Consumer Healthcare, to address a number of challenges, with the goal of enhancing margins. I will discuss in more detail specific market dynamics and actions in the slides that follow. Fourth, we will focus our efforts to optimize organizational effectiveness. A core strength of Perrigo is to build effective operating systems and organizational structures to deliver performance. A key component of our future success is to match cost structures with existing and future expected market dynamics. We are conducting a review of our optimal cost structure going forward to achieve our business objectives. And finally, we'll continue to work hard every day for our customers and consumers. I have continued to assert that we have fundamentally sound and attractive businesses and with unique competitive advantages. Despite their challenges, both our CHC and Rx segments continue to deliver strong operating margins. Now let me dive a little bit further into each of these. Turning to slide 6, this morning we announced that our board appointed two new directors, Geoff Parker, who has already joined the board, and Ted Samuels, who will begin his service on January 4, 2017. Geoff brings a wealth of financial expertise, while Ted brings a significant investor perspective. As you can see on this slide, their experience is directly relevant to our current strategy and ongoing initiatives. Additionally, two of our current board members, Michael Jandernoa and Gary Kunkle, have elected to not stand for reelection. While they will continue to serve as directors until our next AGM, I would like to thank both Mike and Gary for their long-term service and commitment to Perrigo. We continue to work with a nationally recognized search firm to identify other potential independent directors who possess significant experience and successful track records of delivering shareholder value. Turning to slide 7, a key outcome of our ongoing portfolio review is today's announcement that we would explore alternatives for the Tysabri royalty stream. As you know, Tysabri dramatically improves the quality of life for patients with MS, and financially it provides a stable and predictable cash flow. After careful consideration, the board and management believe that now is the right time to explore a review of strategic alternatives for Tysabri to potentially monetize the value of this attractive asset, which we believe would enable us to derisk, delever, and continue to focus on Perrigo's core strengths. In our portfolio review, we are weighing the benefits of divesting or finding alternatives for assets alongside our commitment to maintain an investment-grade rating. Any proceeds from a potential Tysabri sale would be prioritized with this comment in mind, as retaining our investment-grade status is a cornerstone to our capital structure philosophy. Turning to slide 8, as we all know, the Rx space has been very dynamic over the last year, month, week, however you want to look at it. I have had many conversations with investors over the last few months about the future of our Rx business. And we continue to evaluate the business's market dynamics, portfolio strategies, and long-range growth opportunities in order to generate the best value. Our strategic review of this segment requires an in-depth comprehensive evaluation of the interdependencies within our business. Such areas as manufacturing, shared service functions, and tax are more complicated and deserve thoughtful consideration. The Perrigo board has formed a special subcommittee with me on our Rx business to evaluate all of these aspects and determine the best path to optimize shareholder value with this segment. We expect to complete this review in the first quarter of 2017. On to slide 9, now I want to discuss our Branded Consumer Healthcare business. As you may have seen this morning, first we announced a non-cash impairment charge in our BCH segment. Second, Perrigo's Board of Directors has authorized the company to initiate a claim in arbitration against the sellers of Omega Pharma Invest NV, which we plan to do before the end of this year. As you would expect, while you may have questions in this regard, it is our policy to not comment on legal matters, so we will not provide further detail at this time. Despite the impairment, which Judy will discuss in detail, I continue to believe in the long-term power of this business along with its core platforms and competencies. Across the European continent, there are a number of tailwinds that are encouraging for the long-term outlook in this business. OTC market growth remains healthy at approximately 2% to 3% per year, and consumer demographics and dynamics continue to trend favorably, driving increased use of OTC products. We have been actively engaged in Europe over the past six months to build out our leadership team, enhance processes, and develop organizational effectiveness needed to improve the performance of the BCH segment. Our long-term objectives for this business are: first, we are committed to bring in the BCH business to CHC-level profitability. We are currently in the process of overlaying the CHC operational philosophies, experience, and expertise to enhance BCH performance. Second, we are a top-5 European OTC business with scale and reach into multiple channels and in multiple markets. Our goal is to remain a top player within the Europe infrastructure. Finally, we believe that this business can attain at or above-market growth in the long term. We continue to prioritize brand strategies in core markets, which should enable more predictable financial results. Many of the individual markets in which we operate are performing well, like the UK, Spain, the Netherlands, and the Nordics, and we remain optimistic about the potential of the BCH business given all these factors. That said, there is still much work to be done to achieve these objectives. Turning to slide 10 and continuing with the BCH business, the European OTC market has different channels to the consumer. For instance, approximately 1/3 of our business is in the wholesale pharmacy channel, and we are particularly focused on the inventory management systems in those countries employing this model. Order patterns of products we sell into the wholesale pharmacy channels are not always aligned with sell-out patterns to pharmacies, as the wholesalers act as a conduit, which could build inventory inefficiency, something we are systematically addressing. With our strength, opportunities, and challenges in mind, we have a series of actions to focus on countries and products where we have the ability to win in the marketplace. The action plan comprises four key initiatives which are underway. One, the success of an organization starts with leadership. The countries where we perform well have effective, efficient, great leaders who are able to quickly adapt to changing market dynamics. We have added four new country leaders to expand our expertise and add fresh perspectives on our go-to-market strategies in countries that are not meeting expectations. I am confident that we have the right people in place for these countries. Two, we are prioritizing certain geographies and brand strategies across the portfolio, aligning investments with our ability to win by product and by market. This means identifying the geographies and opportunities that have the capability to provide high returns on investment and making plans to either divest or partner with others who can better manage commercial sales efforts, in particular countries where there is no clear path. Currently, there are four challenging countries we are focused on. In Belgium and Italy, we are focused on inventory channel inefficiencies. In Germany, we are focused on working to achieve greater scale. And in France, we are making strategic investments in innovation to diversify our product concentration from seasonal lifestyle products. Three, we are taking steps to be more efficient and align costs with revenues. We are continuing to integrate the BCH infrastructure onto our Irish platform and overlay CHC operational philosophies, experience, and expertise to enhance the margin profile while incentivizing the business team to focus on margin growth. Fourth, new products are the lifeline of a growing consumer company, and we are no different. For us to be successful in the long term, we need to increase investments in innovation to bring more novel products to market. As an example, we have had great success with our new multi-symptom formula, Bronchostop, which has achieved the number one position in the UK. This product is currently being launched in other attractive markets. While they will take time to fully materialize, I am confident that these four specific actions will improve profitability. I see a path to CHC-level operating margins for the business, and I'm committed to taking steps to improve this important business. Turning to slide 11, we continue to maximize the global infrastructure we have in place, and I'm pleased to note that last year's announced consolidation of our global supply chain activities in Ireland is generating a run rate benefit of approximately $40 million in net income, a nice job by the team to hit this target. We will continue to focus our efforts to optimize organizational effectiveness. As discussed last quarter, we're making good progress towards our goal of realizing an additional $40 million in the Branded Consumer Healthcare supply chain savings, which we expect to achieve over the next two years. Let me reiterate. One of our core strengths is building effective operating systems and organizational structures to deliver performance results. Our future success relies on matching cost structures with existing and future expected market dynamics. To this end, we are conducting even a more comprehensive review of our overall cost structure going forward to achieve our business objectives. We expect this study to conclude in the first quarter of 2017. As you can see in slide 12, the store-brand OTC category continues to grow, despite significant national brand product launches that are experiencing a period of exclusivity as well as the return of a prominent national brand. I would like to briefly highlight two store-brand categories on this slide. First, the smoking cessation category continues to grow share, despite the return of a prominent national brand competitor. And second, the infant formula category continues to drive significant store-brand share gains as a result of key investments in infrastructure and marketing programs. I'd especially on this call like to recognize the infant formula team, as our store brand penetration for infant formula is now over 14%. You can see also on this slide that our strong market position in OTC healthcare continues to be driven by favorable market dynamics. The store-brand proposition continues to resonate well, as consumers look for ways to save money without compromising quality or effectiveness. One favorable dynamic that I want to highlight is the continued importance of the Rx-to-OTC switches, which can be seen on slide 13. Notably, we believe there are more than $19 billion of potential Rx-to-OTC switch opportunities that Perrigo is well positioned to capitalize on. Given the current backdrop of the healthcare industry, it is reasonable to expect that consumers, insurers, and government programs will continue to seek more affordable healthcare options. Switching prescription products to over-the-counter is a simple way to take cost out of the system and one that we continue to see as a core element of our CHC business. While I will not touch on all of these categories, we've already seen some of these categories expand, and we believe others have room to grow. Over the past few years, we've seen brands in the nasal category move to over-the-counter: Nasacort, Flonase, Rhinocort. This is typically how we see categories expand. Once one product in a category switches, others will follow. Given this dynamic, I'd like to highlight the recent FDA approval of an acne product to move over-the-counter. We believe this could be a catalyst for other products in the acne category to move OTC, and this is a category where Perrigo already has a strong presence. As we look over the next three years, we see promising opportunities within our new product pipeline. You can see that recent switches from some of the categories we just discussed will be playing a significant role in our new product sales going forward. With a pipeline representing more than $1 billion in brand sales over the next three years, we are well positioned to leverage industry tailwinds in our OTC business. Looking at slide 15, updates we implemented in the Rx forecasting process last quarter proved beneficial this quarter, as it achieved its internal forecast. As you can see here, our Rx business is a leader in the extended topical space. The business has grown from its infancy just over 10 years ago to a leader in the space today. We continue to execute against our strategy for the segment, focusing on tougher to manufacture products with higher barriers to entry. Obviously, price erosion is still a large concern industrywide. However, during the second half of the year, pricing remains in line with our expectations. The segment remains in a leading market position, and we continue to invest in our pipeline. Adjusted operating margins remain attractive. As I discussed earlier, we continue to assess the business and its role with Perrigo going forward. Turning to slide 16, we continue to anticipate new product launches of approximately $300 million in 2016. This represents growth of approximately 5% over reported net sales in calendar 2015. As a reminder, this year we have already launched store-brand versions of Flonase, Nasacort, and three of the guaifenesin family of products. With that, I'd now like to turn the call over to Judy, who will walk you through the third quarter results. Judy?
Judy L. Brown - Perrigo Co. Plc: Thanks, John. As you can see on slide 18, reported net sales for the quarter were $1.4 billion, and reported net loss was $1.3 billion compared to net income of $113 million in the prior year. Non-GAAP adjustments to the reported numbers include add-backs of items such as impairment charges, restructuring charges, and acquisition and integration-related items, including the amortization of acquired intangible assets. As outlined in our press release this morning, in the third quarter we realized an impairment for indefinite and definite-lived intangible assets and goodwill related to our BCH business of $1.7 billion. I will provide more details on this charge in a few moments. On slide 19, you can see third quarter adjusted consolidated net sales were $1.3 billion, an increase of $29 million or 3% year over year on a constant currency basis. As a reminder, these numbers exclude from both periods sales from held-for-sale businesses, including the API business, a European sports brand, and the U.S. VMS business, the sale of which was completed on August 5. Growth in the quarter was driven by higher adjusted net sales in the U.S. OTC business and the infant nutrition category within our CHC segment, as well as higher sales in the Rx segment related to product acquisitions and new product sales. For the quarter, consolidated new product sales of $79 million were offset in part by $10 million of discontinued products. Looking at the segment results on slide 20, CHC adjusted net sales in the quarter increased approximately $14 million year over year or 3% on a constant currency basis. Our U.S. Consumer business grew nearly 4% in the quarter, largely attributable to continued strong performance in the infant nutrition and smoking cessation categories, and new product sales of $33 million, driven primarily by the store-brand launches of fluticasone and three products in the guaifenesin family. These increases were offset partially by price erosion, lower sales in our antacid category, and discontinued products of $6 million. Our sales were also impacted by the absence of our higher margin Mucinex 600-milligram extended release equivalent store-brand product and unfavorable foreign currency movements of $7 million. This year, adjusted gross profit margin was 35%. I'd like to remind you that last year was a record quarter for the segment, driven by strong product mix. On a comparative basis, this quarter's adjusted gross margins were lower due primarily to the absence of the product I just mentioned, pricing pressures, and the fact that many of the new product launches this year are partnered products, which means that gross profit dollars are shared with our supplier. Let me talk to you a little bit about pricing in this segment. As we've discussed in the past, in today's macroeconomic environment, our customers continue to look for value and ask that we pass our material cost efficiencies on to them. This isn't new. Our team has quietly and effectively fought this fight for years, working every day to meet our customers' needs for continually lower prices. In the quarter, this net effect has only slightly impacted adjusted gross profit margins, as we have been able to largely offset this with scale and efficiencies. The team sustained adjusted operating margins of 20%, as we continue to proactively manage operating expenses, which were lower in the quarter. We continue to invest in our business, increasing spending on R&D investments by 8% compared to last year on an adjusted basis. Turning to slide 21, the Branded Consumer Healthcare segment's adjusted net sales were $304 million compared to $302 million last year and grew 2% on a constant currency basis. These results included $18 million from acquisitions, while new product sales contributed $26 million. These increases were offset primarily by lower sales in the lifestyle and natural health vitamin product categories as well as lower sales in the markets John discussed earlier. Adjusted gross profit margins were 47.5%, consistent with the second quarter of 2016. However, compared to the prior year, this segment experienced lower adjusted gross profit margins in the quarter. Approximately half of the margin change compared to the prior year was due to the business dynamics in Belgium, where the new management team there will work on improving the operating model in this market for longer-term consistency and operating results, as John outlined earlier. We also experienced unfavorable mix in the quarter due to lower sales in lifestyle and natural health vitamins categories, which have higher than average margins. In addition, we experienced unfavorable currency effects on euro-denominated purchases for the UK sterling market. The BCH segment realized adjusted operating margin of 10% in the quarter. Lower adjusted gross profit was partially offset by cost containment measures and lower advertising and promotion spending, as management moderated A&P priorities in the quarter to align with market dynamics. In the third quarter, we realized an impairment for indefinite and definite-lived intangible assets and goodwill related to our BCH business of $1.7 billion. The factors that contributed to this impairment were: one, changes in the market and performance of the brand due to moderated new product launch assumptions; two, execution of certain key product strategies falling short of operating management's plans, causing a reduction to baseline forecast models in France, Germany, and Italy; three, certain macroeconomic factors which have continued to impact the business more than expected in addition to unfavorable foreign currency impacts experienced primarily in the UK related to Brexit; and four, a change in the Belgian forecast due to a fundamental reduction in volume with a major wholesaler that is not expected to be short-term in nature. The calculation of this impairment is a complicated process. While our GAAP net income and EPS include the preliminary calculation for the related tax effect of the impairment, we are completing our final control procedures, which will be finalized by the filing of our 10-Q, which is anticipated to be by the end of the day today. Any changes to this would not impact our adjusted earnings per share discussed throughout this announcement today. Turning now to Rx on slide 22, net sales were $267 million, 4% higher than last year on a constant currency basis, driven largely by $32 million related to acquisitions and new product sales of $18 million. The Rx adjusted gross margin was 59% in the quarter due to product acquisitions and new products. Pricing pressures in the segment were in line with our expectations announced last quarter. In addition to acquisitions, we also experienced meaningful productivity improvements compared to last year, which were a factor in offsetting the effect of lower pricing. Adjusted operating margin for the segment was 42.5%, an increase of 40 basis points over the same period last year. R&D investments in the quarter increased $6 million, as the team continues to invest in pipeline products. Our Specialty Sciences segment realized net sales in the quarter of $93 million compared to $85 million last year. Tysabri sales benefited in the quarter from a one-time favorable adjustment to discounts and allowances. Based on the current royalty percentage that Perrigo receives, the effect of this benefit was approximately $3.6 million. In addition, the segment benefited from a $6 million reduction in operating expenses due to lower legal costs in the current year. Turning to slide 24 and an update on our balance sheet, as of October 1, 2016, total cash on the balance sheet was $363 million, and total debt was approximately $5.9 billion. Our total debt declined by over $500 million from the previous quarter end, as we proactively repaid our $500 million of senior notes, which would have matured on November 8, 2016, consistent with our stated deleveraging strategy and our commitment to our investment-grade ratings. We generated $304 million of cash from operating activities during the quarter, which brings us to approximately $704 million of cash from operating activities for the first nine months of the year. This represents a cash flow conversion of operating cash flow to adjusted net income of 129% in the quarter. Excluding the contribution of the Tysabri royalty from both the numerator and denominator of this equation, the conversion would increase to 148%. We will continue to use our strong cash flow conversion to prioritize our capital allocation toward deleveraging. We do not intend to reenter the share repurchase market in the near term. And as John stated earlier, our commitment to our investment-grade rating extends to the alternatives process we are undertaking for Tysabri. Turning to slide 26, we are confirming the full-year 2016 adjusted earnings per share guidance midpoint we announced in August. I would like to take a moment to briefly review the details by segment. For the CHC segment, we continue to expect 2016 adjusted net sales of approximately $2.6 billion and second half adjusted operating margins in line with those in the first half. I would like to remind you that these expectations continue to exclude 2016 contributions from the U.S. VMS business, which was sold on August 5. We still expect approximately $1.3 billion in adjusted net sales for the BCH segment. And we now anticipate adjusted operating margins for the second half of the year to be approximately 10%, which is due primarily to lower adjusted gross profit contributions due to the effects discussed earlier. We continue to align A&P spend with sales patterns and therefore expect fourth quarter seasonal A&P spend to be higher relative to the third quarter to support the cough/cold season. The Rx segment net sales guidance also remains unchanged at approximately $1 billion, and we continue to expect adjusted operating margin in the low 40% range for the full year. Consistent with our comments last quarter, our forecast continues to assume second half year-over-year price erosion on like-for-like products of 9% to 10%. We expect consolidated full-year 2016 cash flows to be approximately $900 million. I'll now turn the call back over to John.
John T. Hendrickson - Perrigo Co. Plc: Thank you, Judy. In closing on slide 28, I outlined specific areas of strategic and operational focus shortly after becoming CEO in the spring. I'm pleased to have been able to share with you today the many actions we have completed and initiated, making substantial progress on multiple fronts in line with these focus areas. While we have challenges to overcome, I believe the team can deliver the Perrigo advantage. CHC adjusted net sales growth was solid in the quarter, and the segment achieved strong margins. We're executing against our plans in BCH to drive greater profitability and enhance the business. Our continued focus on Rx execution paid off in the quarter, as the team was in line with expectations and margins remained attractive. It's been a busy six months, and I with the help of the board and our management team have been working hard to enhance performance and drive shareholder value, and there is much work left to be done. We are performing our business review expeditiously but thoughtfully, drawing on the right expertise with an objective lens. I am confident we're on the right course to improve our performance and address our challenges. Now more than ever, the importance of affordable healthcare products is clear, and Perrigo is uniquely positioned to provide these products to our customers and patients across the globe. Thank you. Brad?
Bradley Joseph - Perrigo Co. Plc: Thanks, John. Operator, we'd like to now open the call for questions. We ask that you please ask one question only. Thank you.
Operator: Your first question is from Sumant Kulkarni, Bank of America Merrill Lynch.
Sumant S. Kulkarni - Bank America Merrill Lynch: Good morning, thanks for taking my questions. So the question I have is, you have an impairment charge on the Omega business and you have a reset growth rate in there. Could you give us the before and after that you used in your calculation?
Judy L. Brown - Perrigo Co. Plc: So specifically, I think – why don't I step back for a second and just give everyone a comment on the impairment overall? Because I am quite certain that many of you are curious as to the fact that we had a large impairment recorded in May and are again going through this same exercise, only six months later. The entire process of calculating impairments starts with run rate indicators on the underlying assets of the business. So as you I'm sure, Sumant, being the careful reader of the 10-Qs and 10-Ks that you are, I'm sure that you noted that we have outlined that the basis of the original assets, the original purchase price accounting, are definite and indefinite-lived assets by product category. Which means, and I remember commenting on this in our May earnings call, that if expectations on those specific categories change over time, it changes the perspective on the long-term indefinite cash flows discounted back to today. What does that mean? At the time we did our evaluation in May, we had certain assertions, country by country, on the future cash flows from our XLS Medical technology, a weight loss product, other products in our lifestyle category, as well as certain other products in cough/cold and our animal health categories in Europe. In the last six months, some of the assertions on those product categories have changed further, both the combination of these four things I outlined in the call: macroeconomic factors and the management team's assertion of how to utilize those assets best on a go-forward basis. So yes, inherent to your question, has the expectation, the run rate of revenues from those categories changed? Yes, and that is the underlying starting point of an indicator of impairment and the reason that the entire process had to be started over again, to rerun cash flows for those product categories, those definite and indefinite-lived assets. And due to the magnitude of the change projected in those particular products and categories, it did also trigger the indicator to run a goodwill impairment analysis; i.e., what are the total cash flows off the total business, even including those assets that are not specifically targeted as the product categories I've commented on already? So stepping back, the underlying expectation on run rate for our business in Europe continues to grow at a rate above market. But the combination of products to get there, the assertion of brand strategies to make that successful, and the contributors of two of those cash flows on a long-term basis have changed, thereby creating the underlying impairment that you see in the books today. John, I don't know if you want to comment further on the future run rates.
John T. Hendrickson - Perrigo Co. Plc: No, you said it well. I think we expect that our business will continue to grow faster than the markets we're in. And we need to turn around the specific markets that aren't performing as well as planned, as we said earlier, and that the products and the issues we had in the country certainly caused a big portion of the impairment that we had.
Sumant S. Kulkarni - Bank America Merrill Lynch: Thank you.
John T. Hendrickson - Perrigo Co. Plc: Thank you.
Bradley Joseph - Perrigo Co. Plc: Thank you, next question, please.
Operator: It's from Jami Rubin, Goldman Sachs.
Jami Rubin - Goldman Sachs & Co.: Hi.
John T. Hendrickson - Perrigo Co. Plc: Hi, Jami.
Bradley Joseph - Perrigo Co. Plc: Hi, Jami, are you there?
John T. Hendrickson - Perrigo Co. Plc: Jami, did we lose you?
Bradley Joseph - Perrigo Co. Plc: Operator, let's move on to the next question, and we'll get Jami back.
Operator: It's from Louise Chen with Guggenheim.
Louise Chen - Guggenheim Securities LLC: Hi, thanks for taking my question. So just curious, I know you haven't said that you're going to do this, but I think one of the things that people have considered is the potential sale of your generics business. I'm just curious why you think there could be any potential to sell that given all the headwinds that we've seen in the industry and the potential dyssynergy to a buyer. Thanks.
John T. Hendrickson - Perrigo Co. Plc: Yes, thanks, Louise. So we haven't decided that we're going down the sales process or anything like that. We've got the internal team driving hard for creating shareholder value with that, and we're stepping back and assessing all of the options. And that's why the board and I have formed a committee to look at all the places of that, both the internal options, as well as potential other ways to optimize the value from that good business segment. So I don't want to say that we've made any determination to sell the business or do anything like that. We just feel given its market dynamics and everything, we need to do a full assessment of all the potential opportunities for that.
Judy L. Brown - Perrigo Co. Plc: Suffice it to say, as we have said for many years, despite the volatility in the marketplace and the obvious macroeconomic changes that have been in the headlines every day in that particular sub-segment of the industry, our business still has market-leading margins and highly efficient and well-run facilities and attractive products in the portfolio. So to the point of what makes us believe that someone might be interested, it's those basic factors of a well-run business in a – granted, to your point, a somewhat volatile market right now.
Louise Chen - Guggenheim Securities LLC: Thank you.
John T. Hendrickson - Perrigo Co. Plc: Thank you.
Operator: And your next question is from Jami Rubin with Goldman Sachs.
Jami Rubin - Goldman Sachs & Co.: Hi, thank you.
John T. Hendrickson - Perrigo Co. Plc: Hi, we got you this time.
Jami Rubin - Goldman Sachs & Co.: I know, I'm sorry about that. That was probably my fault. But anyway, my question surrounds Tysabri and your decision to consider strategic alternatives. Tysabri represented about 33% of earnings this quarter. Obviously, it's highly profitable, it drops right to the bottom line. Judy, can you help us to think about how you guys are balancing the opportunity to monetize the business with the loss of earnings or the dilution to earnings, and how you think – would you be able to make those earnings up through share buyback, debt paydown, acquisition? How are you thinking about all those things? Because obviously, Tysabri is a third of your earnings, and how should we think about that? And also, is there anything in the Irish tax laws that would allow you to benefit from a tax loss carry-forward depending on where you sell the business for? I would imagine there's going to be a loss based on the original purchase price. Is there anything in that that would affect your ongoing non-GAAP earnings? Thanks very much.
John T. Hendrickson - Perrigo Co. Plc: Thanks, Jami. I think there were about six questions in there somewhere.
Jami Rubin - Goldman Sachs & Co.: I'm sorry.
John T. Hendrickson - Perrigo Co. Plc: No, that's okay. Let me start out, and I've said this many times, I want to start out with a broader portfolio perspective. As I look at who we are as an operating company, I go back to we provide quality affordable healthcare products that deliver value to consumers and do those things. We've got a great consumer-facing front. We've got to continue to evolve the branded in Europe to greatness, but frankly, have a good front there. When we looked at the portfolio from a broader view and perspective, Tysabri, as we said, was a non-core part of that overall portfolio. It wasn't a strategic part of our business. It wasn't one of those links that we wanted to grow, drive, et cetera. And in fact, it was a good contributor of financial, good leverage there, but didn't contribute to the core part of what we were doing. So as we looked at it from a strategic standpoint, we said it's non-core. And at what point does it make sense to look at other strategic alternatives for it? And was now the right time, was it sometime in the future? But we elected as a board to say, nope, we believe now is the right time to look for that and do that. I'll let Judy jump in on the EPS and potential things. I will tell you, it's hard to replace the EPS of what Tysabri brings. At the same time, it's a good strategic move in my mind to look at those alternatives. So, Judy?
Judy L. Brown - Perrigo Co. Plc: I believe I have in my public comments always been utterly consistent in the statement that if and when we ever came to a place of selling all or a portion of Tysabri that it would be dilutive to earnings. What do I mean? To your point, 100% operating margin running through the P&L at a low tax rate is very hard to replace, irrespective of whether it's deleveraging, share buyback, or some new strategic investment in M&A. That being said, the plan would be, to John's point, in order to focus the portfolio and focus on core businesses that we would use that cash first and foremost to delever, looking at being able to get down to something more like 3.25 turns, and deploying the cash that would come from that sale – from any sale first and foremost to delever the balance sheet. Effective tax rate-wise, you got into a little granularity on trying to prognosticate on any kind of Irish tax structure. Suffice it to say, at the time we would have a sale, the effective tax rate would also go up for the company. Why, jurisdictional mix, this particular asset's royalty streams today are taxed in the single digits. And so without that mix of earnings before tax in there, obviously the RemainCo tax rate will be higher. At this level, I'm not going to get into gory detail of the ins and outs at the time of the sale. But suffice it to say that the tax implications of this on a go-forward basis, we would talk about that at the time of a sale.
John T. Hendrickson - Perrigo Co. Plc: And again, just to end before I go to the next one, when I think about it, Judy said it well. Creating a clear, concise focus for the company on where we're going, where we're headed, and aligning every mind, everything that we do around those is what will ultimately deliver greater success for us. So I know it's more philosophical, but making sure that we are focused on those core elements going forward.
Jami Rubin - Goldman Sachs & Co.: Thanks very much.
John T. Hendrickson - Perrigo Co. Plc: Thanks, Jami.
Operator: Your next question is from Gregg Gilbert, Deutsche Bank.
John T. Hendrickson - Perrigo Co. Plc: Good morning, Gregg.
Gregg Gilbert - Deutsche Bank Securities, Inc.: Thanks, good morning. I got on a few minutes late. I apologize if you said this, but when do you expect to provide the results of your overall strategic review and refresh your long-term growth outlook? And, Judy, can you talk about the gross margin outlook for the CHC business? And within that, just comment on the pricing that you mentioned. You mentioned an element that it's normal course. I just want to make sure there are no new pricing dynamics developing there that would affect your thinking on gross margin for that segment going forward. Thanks a lot.
John T. Hendrickson - Perrigo Co. Plc: Yes, Gregg, so first of all, on some of the key strategic things that were left off, we talked about our analysis of our Rx business and how to optimize and create the best value for shareholders out of that. We said that would be completed during Q1. We talked about making sure that our cost structures and operational efficiencies were aligned well with the current dynamics of each of our businesses, which means we've got to look at our structures and everything and what we're doing, and that will be complete in Q1. And we'd expect at the same time there to come out with our forward-looking, here's how it all fits together guidance between all those businesses and cost perspectives from that standpoint. And Judy can talk on the margin. I would say the pricing on CHC, just where Judy talks about numbers and so forth, we always have pricing pressures. Our customers are always trying to seek the best value that they can get so that they can pass that on to consumers, and we're part of that good chain because we're always trying to reduce our costs as much as we can and trying to pass that on. So it ebbs and flows, but where those always stay in balance. But I think that's the goal, especially when you look at the Consumer business of how we balance our operational efficiencies, our costs, our procurement. All of those things align around, frankly, providing value to consumers and customers alike. And we've done a decent job and I believe we will be able to continue to drive that value. But, Judy, anything on the numbers themselves?
Judy L. Brown - Perrigo Co. Plc: The only thing I would add to what John said with respect to forward-looking margin and pricing dynamics is that the operating teams indicated they anticipate this very competitive pricing landscape to continue overall. It's not just in our categories. I think anyone that follows retail and the dynamics that our important retail customers are going through themselves will know that everyone right now is striving very hard to find value and margin. So that dynamic continues, and the team does a good job. And part of the cost work that John commented on officially in his comments was directed towards the CHC team working within our manufacturing groups, our supply chain group to help find value within our overall supply chain so that they're in a better position to continue to pass on that savings to their customers while at the same time maintaining adjusted gross margins on a go-forward basis. So while we haven't given long-term guidance or even 2017 guidance in CHC, that is the framework that the team is entering planning with and one that they're planning to, again, pass value on to customers and maintain margins on a go-forward.
Bradley Joseph - Perrigo Co. Plc: Thank you, next question, please.
Operator: It's from David Maris with Wells Fargo.
Patrick Trucchio - Wells Fargo Securities LLC: Hi, good morning. This is actually Patrick Trucchio on the line for David Maris. Given the write-downs and how Omega has performed over the prior year, John, is there a way you're approaching M&A differently than the previous CEO did? Thank you.
John T. Hendrickson - Perrigo Co. Plc: Yes, David (sic) [Patrick], thanks. So the way I think about BCH and Consumer Healthcare and our core businesses is the way we deliver the best value is when we can find good M&A opportunities that fit right into those business segments. When we find products, categories that fit into our Consumer Healthcare business, we're able to drop value very quickly to the bottom line because the infrastructure supports it. My belief is we will get the infrastructure in a better place in Europe. Instead of a number of unique different infrastructures, we will be able to build them together in a more efficient structure and want to continue to have product acquisitions, smaller things that we bolt onto that that can deliver value to the bottom very quickly. So again, I call them bolt-on acquisitions within our core focus, that consumer-facing, the focus on delivering value to the consumers. To me, we can deliver great value there. And so I wouldn't see us in the near term trying to do transformational acquisitions that change the face of who we are. I see us creating focus and looking for bolt-on acquisitions that add value to our core.
Bradley Joseph - Perrigo Co. Plc: Next question, please.
Operator: It's from Randall Stanicky, RBC Capital Markets.
Randall S. Stanicky - RBC Capital Markets LLC: Great. Thanks, guys. John, your prepared comments and also just now seemed to suggest that the BCH business may be more core as opposed to part of the review which it sounds like Rx is. So can you just confirm that? And then you also hit on some of the monetary synergies or benefits between Rx and OTC, but I wanted to ask you. How much non-monetary benefit or strategic benefit do you get in selling both Rx and OTC products into that same large chain customer base? Thanks.
John T. Hendrickson - Perrigo Co. Plc: That's very good. So let me talk Branded Consumer Healthcare first. So as I said in my comments, I think as a consumer-facing company bringing value, having a larger footprint and presence in Europe in concept is a good place to be. Markets are growing. They're good consumer markets. I think they're going to continue to evolve to need cost-effective solutions, whether it's brands or store brands that we offer in countries, those kinds of things. So at a macroeconomic level, I like being in Europe. I think it's a good place to be. Now I step back and say, does that mean that every part of our branded business and consumer parts in Europe are operating well and we belong in long term? And I'd say we're going through that analysis. We announced the last time we were doing some restructuring and looking at potential exits from products in Russia – Argentina, which isn't in Europe – I realize that – South Africa, other areas. So we continue to look at the Branded Consumer portfolio and say do we have a right to win in this country? Do we have the right products? Do we have the right go-to-market strategy? And I think there will continue to be pruning of that overall portfolio to make it much more effective. On the organizational and G&A effectiveness and operating cost of goods effectiveness, we can continue to drive more efficiency and effectiveness there to make sure that the sales we have drop right to the bottom line. So a lot of work in what I call creating the Perrigo of Europe, not from how we sell, not the go-to-market, but the actual back office, how we're able to deliver sales to the bottom is what we've got to continue to work on there. So fundamentally, yes. I like being there. It's not been easy. We still have a lot of work to do, but I think the market ties in with our consumer-facing side. When I think about the OTC and Rx, and again, I said this before. There are some ties to the business between operating side things, plants, some of the procurement side, those kind of things that are good links from that standpoint. Certainly, going to market, the selling process, the people you call on at the buying groups, et cetera, are different. So on the back side, they're there. They are good synergies we're able to pull out, but they probably aren't game-changers as far as ultimate decisions to make. We'd look at all of those and say those are part of the equation and they wouldn't limit us from deciding to do something else with the business if that's where the data or we chose to go. I hope that's helpful.
Randall S. Stanicky - RBC Capital Markets LLC: Yes, it is. Thank you.
Bradley Joseph - Perrigo Co. Plc: Thank you.
Operator: Your next question is from Marc Goodman, UBS.
Marc Goodman - UBS Securities LLC: Yes, just a couple things just related to Omega. So first of all, can you talk about the progress that you've made over the past quarter with respect to revenue synergies in that business, bringing some products from the U.S. over, or vice-versa? Help us understand how big Belgium is and what's going on there. We know that Stada was a big piece of it before. Have they just completely gone away? Or help quantify what's going on there. And also you've talked about how you're focusing on key brands, and in the past you've given us the top 20 products grew at a certain rate. Can you give us a sense of what's going on there? What's the good news, the underbelly of what is going on there? Maybe you can give us that growth rate of your top 20 products again. Thanks.
John T. Hendrickson - Perrigo Co. Plc: Let me go through a number of those in order here. So first of all, revenue synergies between, I'll say Europe and U.S., or U.S. and Europe, those kind of revenue synergies have been slower to materialize than was originally contemplated, just because of the regulatory processes, the unique ingredients in some of the products here that we've got to do changes to, to get them in Europe and vice-versa. So that part of it has been slower than expected. The actual operating synergies, the cost and those kind of things continue to progress as well, but it's taken us longer to get at those reverse synergies. We have in certain markets, I'll pick the UK as an example, where we had a big presence of store brand from legacy Perrigo and doing a lot to combine our branded business with our store brand with our pharmacy business because of what it is. And we have those all under Neil Lister, a great leader for Perrigo, who runs that whole business now, and he's driving synergies across all combinations of that business structure. So, Marc, we haven't given up on the synergies to move products back and forth, to move that. We're actually doing more processes moving back and forth than products at this point. But we think there still are synergies there and ways to drive some of that. Let me go to Belgium and some of the issues there. First of all, we still do business with Stada. We still move it through – we've continued – we do a number of different distribution methods in Belgium. There's a number of different avenues to go to market. One of the biggest ones is through pharmacy distributors, pharmacy wholesalers as you might call them in the U.S. And they would go out to independent pharmacies throughout the Belgian country. There have been what I call inventory inefficiencies in that model of selling in, where they're selling out, making sure we've got good tracking now with the sell-outs. We know what's going there, but making sure that we understand where all the pockets of inventory are and how to manage and normalize that has created longer than we had originally expected. We expected it to normalize relatively quick. So we continue to work with the distributors, the wholesalers, the chains, everything in Belgium to make that flow smoother. And it has definitely taken us longer than we expected. But the Stada relationship is good. We continue to distribute their products as well as our own OTC products through that same channel. Your last question was on key brands and how much of the portfolio they made was the question or what the – can you ask that one more time, Marc? I'm sorry.
Marc Goodman - UBS Securities LLC: In the past you've given us like the top 20 products grew at a certain rate, and you had talked about fixing this business is focusing on the key brands, so I was hoping you could give us a sense of how the key brands were doing.
John T. Hendrickson - Perrigo Co. Plc: Yes, so let me talk. First of all, I would say fixing the business does include key brands, so driving across regions and pan-European. We have a big part of our business that we call local jewels. These are brands that may not leave a region, probably leave a country but may not leave a region, and those are important parts of the business too. And within those countries, we have leading positions with some of those brands. So it's not just the brands we want to drive more pan-European, like Bronchostop and some of those. There are regional great products that we're going to try and drive because that's who we are. We're not quite the – here's the only 20 brands and that's going to be 90% of our portfolio. We're going to drive those brands, but also continue to invest in those regional brands.
Judy L. Brown - Perrigo Co. Plc: To the extent, Marc, you're wondering why we did not reflect a specific growth rate on the top 20 brands in this quarter, suffice it to say, in the month of October when we had initial indicator of impairment conversations with the European operating management team, I made a comment earlier, I think to Sumant, that the growth rates as we look forward are changing. So rather than get into granularity right now on this call talking about specific growth rates of the top brands, we are making changes to certain categories and the expectations of the brand and product growth. Some of the new leadership in Europe is looking specifically at the combination of their local jewel brand investments versus the potential for developing pan-European or more regional brand strategies. Those will be part of our conversations as we go into 2017. But the main area of focus for that operating team on the ground in the last six weeks has been trying to get very deep dive information on what they plan to do by their product categories in order to put forward meaningful cash flow estimates for those products so that we could do a more refined impairment calculation that we talked about earlier on the call.
Bradley Joseph - Perrigo Co. Plc: Okay, next question, please.
Operator: It's from Elliot Wilbur, Raymond James.
Elliot Wilbur - Raymond James & Associates, Inc.: Thanks, good morning.
John T. Hendrickson - Perrigo Co. Plc: Good morning.
Elliot Wilbur - Raymond James & Associates, Inc.: Just a quick question with respect to the Rx generic business and expectations of price deflation. I guess in just doing the math, and correct me if there's some inaccuracy here, but in looking at the decrease in the existing base, $41 million, that works out to an erosion rate of about 16%, and you've indicated the majority of that is price. So I'm just trying to connect that with your prior commentary around expectations of 9% to 10% deflation in the second half and still the maintenance of that deflation expectation for the balance of the year. And then just as a corollary to that, a lot of companies have talked about another leg down in pricing that occurred post the end of calendar third quarter. I just want to get your color or perspective on that, if there's been any change at this point to the early read on 4Q. Thanks.
John T. Hendrickson - Perrigo Co. Plc: Thank you. So first of all, when you look at the actual numbers, if you do it, you've got two things that impact that if you look at Q3. You always have what I call mix/volume portions of that number. So depending on product, product blend, mix/volume, that will be part of it. Price was also in there. The price was in line with our expectations that we gave when you just look at price decreases. The rest of the change was just mix/volume issues. Look forward, we're staying with our guidance for the quarter, as best we know, in that 9% to 10% range, so we're staying with that as far as what we're seeing at this time.
Bradley Joseph - Perrigo Co. Plc: Thank you, the next question please.
Operator: Your next question is from Annabel Samimy with Stifel.
Esther Hong - Stifel, Nicolaus & Co., Inc.: Hi, this is Esther in for Annabel. I just wanted to follow up on that last question. So broadly, what do you believe are the biggest growth drivers for Rx pharma to offset what looks like the continued price erosion? And then just a quick follow-up, I know that you can't go into specifics about the Omega arbitration. But is there any way to give an indication of the generic issue and maybe how this could potentially impact the business going forward?
John T. Hendrickson - Perrigo Co. Plc: So first of all, I'll hit the first one. When you look at the pharma space, et cetera, pricing again has always been a dynamic that's in there, although it's gotten more dramatic here recently, et cetera. The biggest way to offset that is through new products. You have to have a new product pipeline that is relatively strong and can offset those dynamics. We're pretty strong in the space. We have 27 ANDAs pending FDA approval, five Paragraph IV litigations, a number of active clinical studies. But keeping that pipeline, getting those products approved and launched becomes the way that you work to offset that pricing dynamic. And that continues to be a battle all the time, especially in this dynamic pricing environment we're in. On the Omega front and our announcements, I'm going to avoid that question. We see we're continuing forward with operating our business and driving it per normal. And in my mind, this legal action and what's happening has nothing to do with the ongoing operations of our business.
Bradley Joseph - Perrigo Co. Plc: Thank you, next question, please.
Esther Hong - Stifel, Nicolaus & Co., Inc.: Thank you.
Operator: It's from Douglas Tsao with Barclays.
Douglas Tsao - Barclays Capital, Inc.: Hi, good morning. Thanks for taking the questions, just a couple questions on the BCH business. So just to make sure we're understanding in terms of the impairment charges, this really doesn't necessarily reflect specifically a change in long-term outlook from what you think of the business. It's much more just reviewing expectations for very specific product lines as they are today, and that obviously needs to change. And so when we think about long-term growth, it's probably going to be coming via product acquisitions, which Omega was very successful with over the years, as well as internal R&D efforts. And then my second question is, in terms of the leadership at BCH, I'm just curious if, given the fact that it is a very different business from your store brand core, the thought of bringing in some external people with more traditional OTC, branded OTC experience, just to introduce some new perspectives versus what has always been the Perrigo way of doing things.
John T. Hendrickson - Perrigo Co. Plc: Yes, very good, and I appreciate that. Let me go through first real quick on the impairment, I'll give philosophically and then I'll get through the others and give it back to Judy on that one. As we've talked about and laid out the parts of the impairment, that doesn't really say that you can't grow the business going forward or the business won't grow. It doesn't say that anything you buy will layer into there and grow it. So you're exactly right that it's a, here's what we have. Is it performing as we expected? Are different products performing, and Judy will go into those in a minute here. But it certainly doesn't say there isn't growth for the business and there aren't ways to enhance that growth. Certainly one of those is innovation within the product line. So you know this, once you have a brand, the brand will become stagnant and you've got to follow it up with the Max Strength and the Extra Max and here's the liquid that goes with the tablet, all of those kind of innovations that flow there. That comes both internally, but even more so making sure we fund product acquisitions that can add to that innovation. So that's got to be part and is part of the growth path going forward. And again, I'll let Judy come back to that impairment question in a minute here. On the innovation side, I think you're exactly right. We hired a new chief strategy and innovation officer to help drive that, to help us look for how we continue to drive that innovation. He comes from the consumer industry, brings great experience with him. And we'll be great there. I think the other leadership we've brought in from the outside has good branded, good consumer, good consumer-facing experience, and brings credibility to all those countries where we're selling. So they clearly are not exports from the Perrigo infrastructure to them from that standpoint. On the supply chain side, we are bringing a fair amount of our sales and operations planning, inventory management, cost of goods sold, how to consolidate sites, that sort of infrastructure, bringing that to them because that's a universal thing versus a business-specific skill, et cetera. And I will say we're not done adding either. So we've added some good ones. We continue to look at where we need European branded leadership, European leadership, et cetera, to bring into the company to make sure that we are successful in all the objectives we laid out. Judy, please, on the other impairment thoughts.
Judy L. Brown - Perrigo Co. Plc: I just want to make sure, again, going back to my earlier comments, that by definition the fact that there's an impairment of indefinite and definite-lived intangibles means that our expectations for those specific assets and their future cash flows have changed. The fact that we had a goodwill impairment in addition means by definition that the long-term cash flows coming from the entire business that we acquired have stepped down. It's a bounding box algebraic equation that one must reexamine each year to say, are the expected cash flow streams from all of the assets that were acquired the same or have they moved since acquisition or since the last goodwill evaluation. So the answer is yes, it has stepped down. And then to John's point, there's still growth in the model, to the earlier comment, there are still growth expectations ahead of the market. But importantly, you can't step away from the earlier statement of, have the expectations changed. Absolutely, that's what triggered the impairment calculation. But there is still growth in the model for a host of countries and for pan-European basis, yes.
Bradley Joseph - Perrigo Co. Plc: Thank you. Next question, please.
Operator: It's from David Risinger, Morgan Stanley.
John T. Hendrickson - Perrigo Co. Plc: Hi, David.
David R. Risinger - Morgan Stanley & Co. LLC: Thanks very much. I am hoping that you could talk about the organic revenue growth outlook for the Consumer Healthcare business and the Rx business, just to provide some color on how we should think about the forward growth rate for those on an organic basis. And maybe you can include some comments about the pace and magnitude of launches ahead. Thank you.
John T. Hendrickson - Perrigo Co. Plc: Yes, thank you, David. So I'm going to avoid talking about the forward-looking growth and link it into, right now I'm in the process of going business unit by business unit as they prepare the next year's detailed plans as well as looking beyond that. We're in the process right now of reviewing all of those, to assemble that as well as the cost and operating efficiency side of that. So frankly, I'm going to avoid answering that part of the question just because we're in that process. And the way that works at Perrigo is I meet with all the businesses and they bring in their key leaders. And we spend a couple days on each one going through every part and piece to make sure we understand what needs to happen and how we need to support them. Do we need to invest, dis-invest, what do we need to do? So those broader discussions. I think when you step back, to your second question on the Rx business, a good portfolio on the Consumer Healthcare business, good portfolio of new products. It depends on when products switch. Some of the products in the pipeline are dependent on switches, some are line extensions of what's out there. But we have good engines, good R&D, internal functions that support both of those businesses, well-developed teams that drive that, as well as we continue to look for business development opportunities to supplement that as far as bolt-on acquisitions. So without going product by product, good pipelines between both those businesses.
Bradley Joseph - Perrigo Co. Plc: Thank you. Next question, please.
David R. Risinger - Morgan Stanley & Co. LLC: Thank you very much.
Operator: It's from David Steinberg with Jefferies.
John T. Hendrickson - Perrigo Co. Plc: Hi, David.
David Michael Steinberg - Jefferies LLC: Thanks, a couple questions. First, we're on the cusp of the cough/cold season, and typically you ship in advance. I was just curious. During the third quarter, did you ship all or most of the products to the trade? And then related to that, could you comment on what the trade – what the ordering is looking like this year? Would you say the trade is ordering like a typical cough/cold season, higher or lower? And then you have a pretty big launch coming up in Nexium, and I was wondering if you could comment on the dynamics. Do you expect this to be one of your biggest products like Prilosec, or are you expecting a little more competition pending for Nexium? Thanks.
John T. Hendrickson - Perrigo Co. Plc: Yes, so first of all, cough/cold, allergy, sinus, if I step back, I'd say over the last couple of years, our operating supply team has gotten better and better, and the customers have gotten better and better. And so the inventory they used to buy in the old days – in the old days if I go back to my junior days, they'd buy five months' worth of product because they were concerned we weren't going to be able to supply them if the cold season hit. That doesn't happen anymore. We do ship some product in, but they are storing small amounts and they expect that our supply chain can keep it flowing. So you don't have these huge surges of big product inflows like we used to, again, 10 years ago or so. So they are sitting where they want to be for the season right now. We are prepped and ready, continue to operate, and ready for that to happen. Allergy was a little bit lighter here in the fall, and cough/cold really hasn't taken off yet. The weather has been a little bit milder, but we're ready to service that when and if it hits. On the Nexium issue, we are gearing up and prepared. As you know, we have a tentative approval for that product. There are other filers in that space, but we are preparing for the launch, whenever that date arrives, to get that to market, certainly next year.
Bradley Joseph - Perrigo Co. Plc: Thank you. Next question, please.
Operator: It's from Chris Schott with JPMorgan.
Christopher Schott - JPMorgan Securities LLC: Great, thanks very much, just two quick questions here. Maybe first on the Rx side, just given some of the dynamics in the generic space and the consolidating customer base, do you believe that more scale, whether that's achieved either through buying additional assets or selling the franchise and gaining scale that way would help the portfolio? Or do you feel like given the strength you have in your vertical that that really isn't a consideration we should be thinking about as you look at strategic options for that business? The second question was on BCH, just latest thinking about long-term operating margin targets. Are there some rough numbers you can point us to about where margins could recover to over time? Thank you.
John T. Hendrickson - Perrigo Co. Plc: Yes, so first of all, on the generics space, certainly the consolidated number of buyers, the atmosphere right now on drug pricing, all those things that certainly have a dynamic on the pricing and what's been going on, I think there are times when scale certainly is beneficial. You're going in with a basket. I would say on the Rx side, especially in our categories, most of the buyers won't just buy a whole category from you or whatever; they are product-specific. So scale, while good because you've got a broader array of products to bounce any one price – price decrease, price concession off, they're still bidding, asking you for price, asking you if you want to bid on a product item by item. And so really, that part of it doesn't give you huge benefits from the scale. There is a spreading of risk that helps. I think when you look at BCH longer term, our goal is to continue to drive that operating margin up to what I call our Consumer Healthcare margins, so up to the higher teens in my mind. Now we have a lot of work to get there because, as Judy said, we're looking at 10% or so. That includes product growth at higher margins than where we're at as well as operating efficiencies to deliver support to those products so more of that sales can drop to the bottom. Judy, do you have anything else to add to that?
Judy L. Brown - Perrigo Co. Plc: Good summary.
John T. Hendrickson - Perrigo Co. Plc: Okay, thank you.
Bradley Joseph - Perrigo Co. Plc: Last question, please, operator?
Operator: It's from Linda Bolton Weiser with B. Riley.
Linda Bolton Weiser - B. Riley & Co. LLC: Hi, thanks. Can you just give us an update on the A&P spending ratio within BCH and whether it is projected to be up or down or flat or whatever this year? And is that spending level on par with some of the bigger branded competitors in Europe? Thanks.
Judy L. Brown - Perrigo Co. Plc: So what I can say is that we're expecting it as a percent of sales to be up fourth quarter over third quarter. For the full year, the total spend run rate for this year, remember, we had three quarters last year and we'll have four this year, so the total dollar spend or euro spend in 2016 will definitely be up from 2015, even if only on the back of an additional quarter, and the run rate as a percent to sales is expected to be similar. But if we think about how we stand in comparison to larger brand companies and their percent to sales spend, our spend is similar. It's different because we are not going on a pan-European basis across all countries in Europe, but doing spend more locally or regionally focused. Part of the initiative of thinking about ongoing enhancements to adjusted operating margin on a long-term basis is just finding ways to go to market in as lean a way as possible, but still even increase our A&P spend as a percent to sales to afford more push marketing through advertising – sorry, pull marketing through advertising and have the right balance of push; i.e., selling expenses in the portfolio to optimize the overall revenue growth on a long-term basis. So we're trying to strive for enhancing the percent to sales and maintaining that comparability with the larger European pan-European brands.
Bradley Joseph - Perrigo Co. Plc: Great. Thank you, everyone.
John T. Hendrickson - Perrigo Co. Plc: Thank you.
Operator: This concludes Perrigo's calendar year 2016 third quarter earnings results conference call. You may now disconnect.